Operator: Ladies and gentlemen, welcome to Martin Marietta's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded and will be available for replay on the company's website. I will now turn the call over to your host, Ms. Jacklyn Rooker, Martin Marietta's Vice President of Investor Relations. Jacklyn, you may begin.
Jacklyn Rooker: Good morning. And thank you for joining Martin Marietta's Third Quarter 2025 Earnings Call. With me today are Ward Nye, Chair and Chief Executive Officer; and Michael Petro, Senior Vice President and Chief Financial Officer. As a reminder, today's discussion may include forward-looking statements as defined by United States securities laws. These statements relate to future events, operating results or financial performance and are subject to risks and uncertainties that could cause actual results to differ materially. Martin Marietta undertakes no obligation to publicly update or revise any forward-looking statements, except as legally required, whether due to new information, future developments or otherwise. For additional details, please refer to the legal disclaimers contained in today's earnings release and other public filings, which are available on both our own and the Securities and Exchange Commission's websites. Supplemental information is available both during this webcast and in the Investors section of our website. It includes a summary of our financial results and trends with third quarter and year-to-date bridges from continuing operations to consolidated results on Slides 4 and 5, respectively. As a reminder, the company's Midlothian cement plant, related cement terminals and Texas ready-mixed concrete plants are classified as assets held for sale as of September 30, 2025. Their associated financial results are reported as discontinued operations for all periods presented. Our full year 2025 guidance summary on Slide 8 reflects continuing operations unless otherwise noted. Definitions and reconciliations of non-GAAP measures to the most directly comparable GAAP measure are provided in the appendix to the supplemental information in our SEC filings and on our website. Today's earnings call will begin with Ward Nye, who will discuss our third quarter operating performance and our preliminary view for 2026, supported by key market trends. Michael Petro will then review our financial results and capital allocation. Ward will return with closing remarks. Please note that all comparisons are to the prior year's corresponding period. A question-and-answer session will follow. Please limit your Q&A participation to one question. I will now turn the call over to Ward.
C. Nye: Thank you, Jacklyn. Good morning, and thank you for joining today's teleconference. Martin Marietta delivered an exceptional third quarter, achieving record performance across both our aggregates and specialties businesses. These accomplishments reflect the enduring strength of our aggregates-led business model, the disciplined execution of our strategic priorities and our steadfast commitment to safety. As detailed in this morning's release, third quarter highlights include several all-time quarterly records in our core aggregates product line, reflecting strong year-over-year improvement. Aggregates revenues of $1.5 billion, a 17% increase. Aggregates gross profit of $531 million, a 21% increase. Aggregates gross profit per ton of $9.17, a 12% increase. And aggregates gross margin of 36%, an increase of 142 basis points. Our Specialties business also delivered outstanding performance, achieving record quarterly revenues of $131 million, a 60% increase and third quarter record gross profit of $34 million, a 20% increase. As announced at our Capital Markets Day, we've rebranded the former Magnesia Specialties business to Specialties, a name that better reflects the broader portfolio of specialty products we provide within that segment, all of which are rooted in our core competencies, mining, crushing and processing rock. These strong results reflect robust organic growth complemented by contributions from Premier Magnesia acquired at the end of July. Importantly, and I'm extremely proud to report, this outstanding financial performance coincided with our teams delivering the best year-to-date safety performance in our company's history as measured by both total and lost time incident rates, a testament to our culture of world-class safety and operational excellence. Looking at the quarter holistically compared with the prior year, revenues from continuing operations were $1.8 billion, a 12% increase. Revenues, inclusive of discontinued operations, were $2.1 billion, a 10% increase. Adjusted EBITDA from continuing operations was up 22% to $667 million. Consolidated adjusted EBITDA, inclusive of discontinued operations, was up 15% to $743 million. Our earnings per diluted share from continuing operations were $5.97, an increase of 23%, and total earnings per diluted share inclusive of discontinued operations were $6.85, an increase of 16%. Building on this momentum, we're raising our full year 2025 consolidated adjusted EBITDA guidance to $2.32 billion at the midpoint, driven by strong performance in our core aggregates product line and October daily shipment trends. As outlined in today's earnings release, the revised consolidated adjusted EBITDA guidance includes results from both continuing operations and discontinued operations. On August 3, we entered into a definitive agreement with Quikrete Holdings, Inc. or QUIKRETE, for the exchange of certain assets. As part of the transaction, which is expected to close in the fourth quarter of 2025, Martin Marietta would receive aggregate operations producing approximately 20 million tons annually in Virginia, Missouri, Kansas and Vancouver, British Columbia and cash proceeds. In exchange, QUIKRETE would receive the company's Midlothian cement plant, related cement terminals and certain Texas ready-mixed concrete assets. Following the close of this portfolio-shaping transaction, we will be optimally positioned to accelerate into our next phase of growth under SOAR 2030. Looking ahead to 2026, we expect continued resilience in our aggregates business, supported by sustained infrastructure investment, solid heavy nonresidential demand, particularly from accelerating data center development and an eventual recovery in residential construction. Our preliminary 2026 outlook reflects low single-digit aggregates volume growth and mid-single-digit pricing gains. As always, Martin Marietta's industry-leading teams remain focused on what we can control, executing our strategic plan, which includes upholding world-class safety standards and delivering attractive price/cost spread economics regardless of underlying demand trends. Turning to end market trends. Infrastructure continues to benefit from sustained federal and state investment. According to the American Road and Transportation Builders Association, or ARTBA, the value of state and local government highway, bridge and tunnel contract awards, a leading indicator of future product demand, increased 10% year-over-year, reaching $128 billion for the 12-month period ended September 30, 2025. While the Infrastructure Investment and Jobs Act, or IIJA, is scheduled to expire in September 2026, over 50% of highway and bridge funding is still to be invested, providing meaningful tailwinds as reauthorization discussions begin. Moreover, at July's Infrastructure Conference, U.S. Transportation Secretary, Sean Duffy, reaffirmed the administration's commitment to long-term planning, funding stability and accelerated project delivery. These priorities, combined with the bipartisan legislative support and healthy Department of Transportation budgets across our top states, reinforce our confidence in the durability of product demand within our most aggregates-intensive countercyclical end market. While intermittent government shutdowns or their immediate aftermath may delay certain administrative functions, core highway, street, bridge and road construction activities typically proceed uninterrupted, supported by stable funding from the Highway Trust Fund and advanced appropriations. Heavy nonresidential construction demand remains steady across our key geographies, underpinned by sector-specific dynamics ranging from rapid expansion in data centers to a recovery in warehousing and distribution and early-stage momentum in energy and advanced manufacturing. Data center development continues to accelerate with Texas emerging as a national leader in hyperscaler activity, highlighted by more than 100 data centers currently under construction. Meanwhile, warehouse and distribution activity is rebounding from a cyclical bottom as vacancy rates normalize. Investment in the energy sector is gaining traction, particularly along the Gulf Coast, where aggregates-intensive liquefied natural gas or LNG projects that were previously paused are advancing following the resumption of federal permitting. Additionally, the reshoring of pharmaceutical manufacturing is another emerging bright spot bolstered by the reconciliation bill's enhanced investment and R&D tax credits. A few notable examples within Martin Marietta's footprint include Eli Lilly's $6.5 billion facility in Houston and 2 large projects in Raleigh, including Novo Nordisk's $4.1 billion expansion and Johnson & Johnson's $2 billion expansion. Land availability, proximity highways, ports and rail infrastructure and business-friendly regulatory environments remain key factors influencing the location of large-scale, well-funded heavy nonresidential construction projects. As shown on Slide 12 of our supplemental information, Martin Marietta's leading presence along major transportation corridors in high-growth markets positions us to deliver the right products at the right time in the right places. While affordability constraints continue to hinder near-term residential construction activity, moderating mortgage rates suggest a gradual path toward normalization. Encouragingly, in October, the National Association of Homebuilders, Wells Fargo Housing Market Index, or HMI, a key indicator of homebuilder confidence and overall health of the housing market, rose to its highest level since April, driven by a 9-point increase in the index's measure of expected single-family home sales over the next 6 months, the strongest reading since January. Historically, light nonresidential construction demands tend to follow residential development and although more sensitive to interest rates, this activity has demonstrated relative resilience during this most recent housing cycle due to significant population inflows into our key Sunbelt markets. That said, we fully expect light nonresidential activity to accelerate as single-family housing recovers. I'll now turn the call over to Michael Petro to discuss our third quarter financial results. Michael?
Michael Petro: Thank you, Ward, and good morning, everyone. The continuing operations Building Materials business, which is now comprised of aggregates, asphalt and paving and our Arizona ready-mix product lines, posted revenues of $1.7 billion, a 10% increase, while gross profit increased 16% to $585 million. Gross margins improved 191 basis points to 34% as strong outperformance in aggregates more than offset weakness in downstream products, which are now classified as other Building Materials. As Ward noted, our core aggregates business achieved records across most financial metrics in the third quarter. Revenues increased 17% to $1.5 billion, driven by a balanced mix of 8% price and 8% volume growth. Gross profit increased 21% to $531 million, while gross margins expanded 142 basis points to 36% as strong pricing and a normalized weather shipment cadence in the Southeast and Texas more than offset higher freight, depreciation and general inflationary impacts. As implied in our revised full year aggregates gross profit guidance, we expect cost per ton growth to moderate in the fourth quarter, a trend that we expect to continue in 2026 as cost flexing measures implemented earlier this year take effect. Other Building Materials revenues decreased 10% to $351 million and gross profit decreased 17% to $54 million, primarily the result of reduced asphalt and paving revenues. Our Specialties business delivered all-time quarterly record revenues of $131 million and gross profit increased 20% to $34 million, inclusive of a nonrecurring $5 million purchase accounting headwind. This strong performance was driven by higher pricing, increased shipments across all product lines and effective cost management. Additionally, the results benefited from approximately 2 months of contributions from the Premier Magnesia acquisition. Turning now to capital allocation. At our September Capital Markets Day, we reaffirmed our disciplined approach to M&A, emphasizing efficient synergy delivery and the importance of maintaining a strong balance sheet with an investment-grade credit rating. The QUIKRETE asset exchange would serve as a compelling example. By leveraging Section 1031 of the Internal Revenue Code and capitalizing on recently enacted bonus depreciation provisions, we thoughtfully structured this transaction to minimize cash tax leakage. Importantly, our $1.1 billion in total liquidity as of September 30 provides enhanced balance sheet flexibility to pursue M&A opportunities within what remains an active pipeline. Our commitment to financial discipline extends to capital spending, where we remain focused on balancing growth investments with free cash flow conversion. Following several years of elevated capital expenditures, we expect an approximate 30% reduction in 2026 capital investments as compared to the 2025 guidance midpoint, which reflects a sustainable level aligned with the ongoing needs of the business. Lastly, and consistent with our capital allocation priorities, we remain committed to returning capital to shareholders. During the third quarter, our Board of Directors approved a 5% increase to our quarterly cash dividend paid in September, demonstrating confidence in the durability and sustainability of our company's future growth and free cash flow generation. We have now returned $597 million year-to-date and $3.9 billion since the announcement of our share repurchase program in 2015 through both dividends and share repurchases. With that, I will turn the call back over to Ward.
C. Nye: Thank you, Michael. We're extremely proud of the company's exceptional safety, operational and financial performance through the first 9 months of 2025. This momentum, combined with portfolio enhancements throughout SOAR 2025 and the launch of SOAR 2030 at our Capital Markets Day, reflects our unwavering commitment to disciplined growth, operational excellence and sustainable value creation. With a streamlined portfolio, a resilient aggregates-led platform, a complementary specialties business and a strong financial foundation, we're well positioned to deliver our updated full year 2025 consolidated adjusted EBITDA guidance. More importantly, we remain focused on building a business that consistently outperforms across cycles and delivers compounding value for our shareholders over the near, medium and long term. If the operator will now provide the required instructions, we'll turn our attention to addressing your questions.
Operator: [Operator Instructions] And our first question comes from the line of Kathryn Thompson with Thompson Research Group.
Kathryn Thompson: I wanted to focus on the balance of your aggregate pricing and volumes. Your ASP was up solid. You're able to maintain for the year. Could you sort -- and also for volumes also had an optimistic end to the year. Could you -- could you sort out the difference between total and organic pricing for the quarter? And could you do the same for volumes, and how we should think about both going forward with the balance of organic versus total?
C. Nye: Kathryn, thanks for the question. Nice to hear your voice, and thank you for being with us today. Yes, I can break that down for you. I mean, look, I was really pleased with the overall pricing and volume. I mean it's one of those quarters where it's kind of a square mill, right? It's 8 and 8. So those are easy numbers to remember. Look, here's what I'm enthusiastic about. Pricing, as reported, was up 8%. Organic was up 7.9%. And I think what a lot of people would have thought looking at it was, look, the 8% had to be helped a lot by the acquisition activity. The fact is we're seeing very good solid organic activity as well. And if I break it down and look at the East Group and the West Group, both of those performed extraordinarily well. So it wasn't as if it was being captured just in one part of our geography. The other thing that I'll share with you is if we look also at the mix of product going out, this was actually a pretty heavy base quarter. So if you think about it, that really should have been a product mix headwind to what we were doing. I've long said when I see base going out, it gives me a lot of confidence in the future because what I know is if we're putting base rock down, at some point, somebody is putting clean stone on top of it in the form of either ready-mixed concrete or asphalt and paving. Now relative to the shipments themselves, again, they were up 8% for the quarter. Organic was up 5.5%. So again, I think broadly in the realm that we would have thought. The fact is we had -- I wouldn't say favorable weather, I would just think we had more normalized weather in the quarter, and the business did exactly what we thought it would. But Kathryn, thank you for the question. I hope that was responsive.
Operator: And our next question comes from the line of Trey Grooms with Stephens.
Trey Grooms: So looking at -- if we could maybe look at the cost side of things, you mentioned a few things that were going on in 3Q, but it looks like you're expecting an improvement in price cost in the fourth quarter. If maybe you could talk about some of the drivers there here in the fourth quarter. And then Michael, you mentioned that you expect this trend to continue going forward. Is there any early thoughts on how you're thinking about the price/cost side of the equation as we look into next year?
C. Nye: Let me take the first part of that, Trey, and Michael will come back and talk a little bit about the spread notion for next year. So if we look at the overall cost performance for the quarter, what I would say is the pricing performance is really good. I would say the cost performance was okay. I mean I'm not disappointed in cost performance. The fact is it can get better. And if you look at what we're implying for the rest of the year, what you're going to see is really an implied Q4 cost performance of around 2% versus what you saw this quarter. Now the fact is if we take a look at this quarter and start breaking it down on what the drivers were, the drivers were largely threefold -- what was happening with personnel. Obviously, what's happening to agree with DD&A simply due to the investments we've made. And then a component that we have that's going to be different than many is the freight portion of it because, as you know, we've got more long haul in our profile than anybody else does. In fact, we're shipping by rail probably 2x our largest competitor in that dimension. So again, if we just pull the rail piece out of it all by itself, it would probably take that cost profile down to about 4%. But again, the Q4 implied gives you a sense of have we put in some cost containment measures? Yes. Do we intend to see that come through for the balance of the year? Yes. And do we think that's going to dribble over into next year in a meaningful way? The answer again is, yes. And with that, let me go back to Michael for the portion of your question relative to price/cost spread.
Michael Petro: Yes. Thanks, Ward. And Trey, thanks for the question. I think the best way to get your arms around 2026 and really over the next 5 years is consistent with what we said at our Capital Markets Day, where we expect to be able to deliver a price/cost spread in excess of 250 basis points. We certainly believe that, that would be the case next year. We don't see anything either on the price or the cost side that would give us concern there. In fact, what I would say is that deceleration in Q4 in the kind of 2.5% cost per ton growth range, that's probably a good number to pencil in for next year as a starting point. And we have our mid-single-digit pricing guide out there. So that should put you in that 250 basis point ZIP code coming out of the gate and to 2030.
Operator: And our next question comes from the line of Anthony Pettinari with Citigroup.
Anthony Pettinari: I was wondering if you could talk a little bit more about maybe the volume cadence for the 3 months of the quarter and then maybe into October, November, if you've seen any impact from government shutdown or anticipating any impact if it keeps going. And I'll leave it there.
C. Nye: Anthony, sure. I'll give you some broad strokes on it, and Michael can come back and give you a little bit more detail. But what I would say to you overall is we saw just a good, steady, solid performance as we went all the way through the quarter. What's worth remembering, and I think this is really important, last year was a monster October for us, and it was a monster October because as you will recall, we had a lot of weather in Q3 last year. And in particular, we had 4 hurricanes, and we simply didn't have that this year. And what I would have thought was given what October was last year, that was a big mountain decline in October this year. And obviously, we'll talk more about October with specificity when we report Q4, but I'll put it this way. We were not at all disappointed in October this year. So again, if you want to get a sense of what the overall quarter looked like, Michael can give you a little bit more detail as we look at month by month.
Michael Petro: Yes. So as we said, I believe, last quarter, we expected it to be the tale of weather comps as we march through the month. We thought July was an easy weather comp. We thought August was going to be a little bit more difficult given some of the carryover work in '24 from that July weather-impacted month, provided a pretty difficult comp in August. And then we said September was an even easier weather comp than July. We saw that play out fairly consistent with our expectations. That being said, I think what's important is the highest daily shipment trend of all 3 months was in September. So that gives you a little bit of a sense of the momentum that we saw carrying over into October.
Anthony Pettinari: Great. And any impact from shutdown?
C. Nye: I'm sorry. Yes, you did ask that. Yes, the fact is, this portion of our business from a shutdown perspective performs hugely resiliently. So if you think about Federal DOT, how they're going to work, highways, bridges, roads and streets because of the way funding flows through on that, typically, it is not impacted by shutdowns. And of course, the states continue to be in a really attractive place, at least in the geographies in which we're operating. So while I do ache for the different businesses that are struggling mightily as they go through the shutdown, it's one more factor of the resilience that we tend to have in this business.
Operator: And our next question comes from the line of Phil Ng with Jefferies.
Philip Ng: Congrats on another strong quarter. Ward, I'm curious about what you're seeing on the bookings and backlog, how that has progressed over the course of the year? I'm particularly interested on nonres as we look out to 2026. Heavy has been really strong, light has been a little weaker, but you sound a little more constructive on commercial. So do -- I'm sorry, warehouse. Is that enough to kind of flip things positive? And how has momentum on the infrastructure side progressed as well?
C. Nye: Phil, thanks for the question. I would say several things. One, the infrastructure piece of it that you mentioned last should continue to be really constructive going into next year. I mean, if we think about the notion that we still got 66% of total highway and bridges, cumulative obligations to go, half of the dollars is still are yet to be invested on the public side. That should be really constructive for a while. The other piece of it that I think is worth noting, if we're looking at our top 10 states and you're looking at state DOTs year-over-year as we go into 2026, they're up between 6% and 7%. So if we look at California, that's up 6%. Texas is up double digits. Minnesota, which is an important state for us, is nicely up double digits. Georgia, up 7%. So again, what we're seeing on public is attractive. But I would draw your attention to Slide 12 today in the supplemental slides because I think that really gives you a good visceral take of what we see going on relative to nonres activity, particularly on the heavy side. And we listed out in there across geographies what we're seeing relative to data centers, what we're seeing relative to warehouses and distribution, and what we're seeing relative to manufacturing. I will tell you this. I've always asked my team, "Hey, do me a favor, call me with good news." Because typically, I hear from people when things are more challenging that occur. I'm getting more text and more e-mails than I ever would have thought at this time of year on the type of bidding activity that they're seeing right now in geographies that matter a lot to us and on projects that I think can be very impactful going to next year. So I'm trying to give you anecdotally and factually, Phil, what you're talking about relative to what's going on with public, what's going on with heavy nonres. And again, part of what I've been taken by is actually how well light nonres has held up through the cycle despite the fact that housing has not been in a particularly good place. Look, if we continue to see constructive activity relative to interest rates, et cetera, on housing, I think when we get into half 2 next year, it's not that I think housing is going to be on fire, it's going to start to recover. And as we see that combined with what I think is a very attractive public sector, a good, healthy, heavy nonres, I think that's going to be awfully constructive, number one, the single-family housing; and number two, even bolster up what has been a more resilient light non-res than I would have thought.
Operator: And our next question comes from the line of Angel Castillo with Morgan Stanley.
Esther Osinaiya: This is Esther Osinaiya, on for Angel. My question is, what's driving the stronger seasonal norm quarter? And given that, does that should suggest that the exit rate into next year is stronger than the preliminary guide implies?
Michael Petro: Are you talking about the exit rate in aggregates pricing or gross profit?
Esther Osinaiya: We're talking about pricing or both. You can...
Michael Petro: Yes. So I think a few things. On the cost side and gross profit, in particular, we are seeing a nice sequential change that's better than the sequential change we saw last year from Q3 to Q4. And a lot of that is driven by those cost measures that we've said in the prepared remarks that we implemented in Q2 and Q3. We're going to see those start to bear fruit really in Q4 in earnest. So you see that flowing through. So that's number one. And then on the pricing side, that's just consistent with remaining disciplined in that regard. So the exit rate that you see there, we feel pretty confident about that. We still think as far as pricing guide for next year, the mid-single digits is the right way to think about it. So some of that will be a little bit of carryover. But by and large, that's going to be a lot of what we do relative to January 1 increases.
Operator: And our next question comes from the line of Adam Thalhimer with Thompson, Davis.
Adam Thalhimer: Great quarter, particularly on the pricing growth. Ward, I wanted to ask you -- sorry if it's been covered, but I was hoping you could comment more on what you're seeing in the public sector and specifically DOT work, how confident you are in 2026? And curious if the DOTs are relatively consistent and growing next year or if there's some variability?
C. Nye: Adam, thanks for the question. No, it's relatively consistent across our DOTs. So keep in mind, when we began our SOAR process back in 2009 and 2010, one of the areas in which we are most focused is building our businesses in states that were in a really good fiscal condition because we felt like that was going to be vital for them to be able to match what the federal government is putting out. Another big driver for us was population trends in places where we could have leading positions. And so if you think about that as being the architecture, around which we try to build the business. Again, if we go back and take a look at these top 10 states, I think I've indicated top 10 total are up about 6.8% year-over-year. That's a really attractive number. There's nothing that we're seeing in our leading states right now that gives us any concerns about where they're going to be. Equally, as I mentioned, the highway, bridge and tunnel contract awards basic increased to $128 billion for the 12-month period ending September 30, 2025. So the work continues on the projects supported by the federal investment and the state funding increases. If we take a look at equally what's happened in a number of our states, North Carolina is a good example, over the last several years, they've come up with additional funding programs as well. So if we go back and look at what the NC FIRST Commission did several years ago, basically saying, look, to get our roads from mediocre to good, which doesn't sound like it was a stretch. We recognized that there was a multibillion-dollar investment that needed to be made over time. And part of what our general assembly did in this state, and by the way, other states have done the same thing, is started dedicating portions of sales tax to transportation because the notion was nothing ends up on a store shelf by -- if it's not using infrastructure in that state. So Adam, as we look at what I think is happening federally, clearly, IIJA is going to be strong going into next year. But I equally think -- and I think this is important, I believe, we will continue to see a nice successor bill come behind IIJA before it expires by its own terms next September. And again, I mentioned the dialogue that Secretary Duffy had shared a couple of months ago relative to what their continuing priorities are going to be. So if you look at this quarter, part of what you'll see is infrastructure was around 37% of the product that went out of our gates. And if you look over time, that's continuing to build up to that, let's call it, 40% number that I think feels like a pretty good percentage for infrastructure to be. Now that said, we also saw growth in heavy nonres. So that went up to 35%. But again, if we're looking for what literally is going to be the ballast in the boat, Adam, I think it's going to continue to be public. I think that's going to be a constructive show federally. I think it's going to be a compelling show relative to Martin Marietta states.
Operator: And our next question comes from the line of Garik Shmois with Loop Capital.
Garik Shmois: I had a follow-up question on pricing. Can you speak to if you're seeing any mix impact on pricing, either product or geographic? And also, we heard from a competitor recently saying that the pricing in their backlog is accelerating. I was wondering if you're seeing something similar.
C. Nye: Garik, thanks for the question. Yes, I would not say that we had any tailwinds relative to product mix, for example, I did mention earlier that if we're looking at the single largest growth of the products, it was going to be in base stone. And as you know, it's not unusual for base stone to be 20%, 25%, 30% lower in ASP than a clean stone. And the reason that I called that out is that bay stone is going down. Two things are happening, Garik. Number one, it's relatively new construction, which we're excited by. It also means that at some point, the clean stone will come on top of that because you're going to have either asphalt or concrete going on top of the base stone. So I think if anything, we would have had a headwind relative to what was going out. Relative to geographic mix, really, there was not a significant headwind on that either. I mentioned that overall pricing was 8%, organic was still 7.9%. The East Group had healthy pricing. Actually, the West Group had healthier pricing than the East, which makes some sense to me because historically, West Group pricing has been lower, at least overall. So there's some catch-up that needs to come from that. But I think those are the primary moving parts that we've seen, Garik. But did that answer your question specifically?
Garik Shmois: No, it did. And just anything to call out on the backlog and how pricing looks there?
C. Nye: You know what -- again, we'll talk more about next year when we get into it. But as I mentioned before, I'm seeing much more activity right now than I've seen for a while in energy. I'm seeing continued attractive activity relative to data centers. And much of those are going to be location driven. And the fact is we built our business along these major corridors, whether it's road, rail or port. And I think if you think about the momentum that should give us going into next year, more to come, but I think it should be -- I don't think you'll be disappointed, Garik.
Operator: And our next question comes from the line of Keith Hughes with Truist.
Keith Hughes: A specific question. But once you complete the deal with QUIKRETE, will that change in SG&A spending? Do any of the SG&A costs go with the business?
Michael Petro: Yes. No, it's almost a pretty clean carve-out in that regard. So there will be some retained SG&A that used to support that business. But the EBITDA that we're showing in discontinued operations, that assumes we're retaining the corporate SG&A that supported that business.
Keith Hughes: And will there be any mix impact within aggregates next year just based on what you're getting?
C. Nye: The fact is there probably will be some mix impacts. You'll have a couple of things if you think about it, Keith. There'll be some geographic mix because we're picking up some businesses in the Central. And that tends to be, for example, a little bit lower than businesses are in the East. We're picking up some businesses in Virginia. But overall, it will be an optical headwind, but we also think that provides organizational opportunity.
Keith Hughes: Okay. And the guidance you gave for the preliminary guidance for '26, I assume those organic numbers, excluding mix and volume?
C. Nye: That's correct.
Operator: And our next question comes from the line of Brian Brophy with Stifel.
Andrew Maser: This is Andrew, on for Brian. I'm wondering if you could provide an update on how you're thinking about the timing of the rollout of the [ Precision IQ ] pricing tool next year? And to what extent benefits from that may be captured in the mid-single-digit pricing guidance or if that's more of a 2027 story?
Michael Petro: Yes. No. So we should have [ Precise IQ ], the quoting tool in all of our sales team's hands by midyear next year. It's already effectively rolled out here in the East. But underlying the Precise IQ is really the pricing algorithm, and that engine has been built. That supports both fixed based and quoted pricing. So we are in our mid-single-digit guide incorporating that for what we ultimately go out with January 1 relative to fixed base. We expect more upside from Precise IQ really on the quoting side to flow through more in 2027.
Operator: And our next question comes from the line of David MacGregor with Longbow Research.
David S. MacGregor: Congratulations, Ward, on a great quarter.
C. Nye: David, thanks so much. Good to hear your voice.
David S. MacGregor: Yes. I guess I wanted to just get your thoughts around midyear aggregates pricing. And what did you take away from this year that was maybe a little bit different from the midyear experience last year or in prior years? And also, just given all the pressures in downstream markets right now, is there any sort of pushback on pricing that -- I mean, are these downstream problems constraining your pricing at all?
C. Nye: David, thanks for the question. I would say several things. I'm not sure I was terribly surprised by midyear pricing this year. But we're putting up really good results, but we're not really in a robust volume environment. We saw pretty reasonable volume growth, but it was on a pretty weather challenged quarter last year. So what I would tell you is this is what we're able to do in a relatively static volume environment that I think is, number one, going to improve. So did that surprise me on what we saw in midyear this year? Not really because what I anticipated was we would see it primarily, and by the way, we did, in areas where we had new M&A, where we were trying to bring businesses at least on a trajectory basis up to what we would have expected in our heritage business. Now as we look into the new year, and again, I think going back to some of the dialogue we've had earlier in the call, I think public is going to continue to grow into next year. What I'm seeing on heavy nonres is actually pretty attractive right now, David. And if we're right that we start seeing more activity in single-family in the second half of next year, I think that actually portends pretty well for what midyears could look like next year. Obviously, we will talk more about that when we get into the year. And of course, part of what we're getting ready for will be the price increases that we'll put out in January. But if you just look at foundationally what happened this year and what I anticipate broadly happening next year, I think from a midyear perspective, it's going to be pretty constructive. Keep in mind, if we really think about most of our customers in these respects, they're most focused on making sure that everybody is treated fundamentally fairly on what's going on. And we assure ourselves that that's exactly where they are. So I don't think we're going to have undue pressure in that dimension.
David S. MacGregor: And on the downstream markets, any pressure there that you're feeling?
C. Nye: Not particular markets. I mean, this has been an interesting year. Minnesota had a much more constrained budget this year, and they had an extended winter. So really, if I'm looking at our asphalt business this year, and Minnesota is odd for us because part of it -- that's an FOB business for us, really, David. We're not doing lay down in that state. And if you look at their budget next year compared to this year, it's a fundamentally different budget. And if you think about the downstream business for us, they're really pretty narrow. I mean it's going to be what are we doing with FOB, asphalt in Minnesota? What are we doing with lay down really in Colorado? And what are we doing with degrees of ready-mix in Arizona? In many respects, that's the show. And of course, we had sold some asphalt businesses in California earlier in the year. And if you're just looking year-over-year, that's a big swing in the delta. So if you didn't take that into account, you would have a sense that the downstream businesses are actually suffering more than they are. So that actually buffers it pretty nicely.
Operator: And our next question comes from the line of Mike Dudas with Vertical Research Partners.
Michael Dudas: Michael mentioned in his prepared remarks, CapEx trending next year. Maybe if you could shed a little bit more light on that. How -- you talked a lot at your Investor Day about automation and the investment there, how that drives with that type of spending comment. And then just as you -- and to follow up on the balance sheet, when you -- on a pro forma basis, if this transaction closes in Q4, what -- any meaningful changes to the balance sheet we should be thinking about?
Michael Petro: Yes. I guess, first on CapEx, what we said is the last 2 years for various reasons have been at elevated levels. So really, we just believe in 2026, we're returning to what we would say is more normalized levels, which is roughly 25% of EBITDA for next year or maybe modestly below that. This year had some opportunistic land purchases and the prior year had the acquisition that was treated as CapEx for accounting purposes. So really no fundamental change in how we're investing in the business. It's just coming off of 2 years of a relatively elevated comp. We don't think we do any harm to the business in terms of pulling it back to that level. In fact, if we needed to, we could flex CapEx further, if necessary. Relative to the balance sheet, the transaction is relatively balance sheet neutral. So no real change in leverage or otherwise once it closes.
Operator: And our next question comes from the line of Ivan Yi with Wolfe Research.
Ivan Yi: Just wanted to go back to aggregate pricing, which was up double digits in '22, '23 and '24. Can you return to those levels? I guess what needs to happen for you to raise your mid-single-digit pricing increase guidance for 2026?
C. Nye: Ivan, thank you for the question. I guess, I would say several things. Obviously, there was a lot of inflation and a very price-sensitive world that we were in for a period of time when we were seeing double digits. Part of what we anticipated is we would be exactly where we are now when we returned to what we think was a more normalized time relative to inflation and otherwise. I think to your point, look, if volumes really start taking off in notable ways, at least based on history, pricing tends to follow that. So that's how I would think about that. But again, we tried to lay a lot of that out with degrees of clarity at our Capital Markets Day, talking about what we thought the drivers had been over the last several years, what they thought -- what we believe they are today and what we think they can be going into the future. We obviously do believe that the overall commercial aspects of the business have changed pretty considerably over time. And that really is taken up into what we gave as the guide for this year and the preliminary guide for next year. I think your swing factor is going to be what happens with volume. And if volume is moving, if you've got products that tend to be tight in geographies, that's traditional economics at play. So that's how I would think through it, Ivan.
Operator: And our final question comes from the line of Judah Aronovitz with UBS.
Judah Aronovitz: As you sit here today, thinking about '26, I guess what are the biggest uncertainties you have? And how do those questions or uncertainties compared to last year at this time? And then what's your confidence in sustained growth in gross profit per ton on aggregate? Is double-digit growth, I guess, reasonable at this point?
C. Nye: So I would say several things. One, I think as I'm thinking about '26 versus '25, I actually feel better going into '26 than I did '25. And I would say that for several reasons. One, we're seeing the work continue to pull through on IIJA, number one. So that should continue to be very attractive. Number two, we're seeing where the state DOT budgets are coming in. And again, they're coming in at very attractive levels in most instances, up nicely. And again, that's going to be high 30% of our volume right there by itself. If we're also looking at what I continue to think is a constructive and growing segment that we talked about in nonresidential, particularly on the heavy side. One piece of it we haven't spoken of on today's call that I think is really important will be what we will watch on the emerging energy plays that we think are almost destined to come through. If I'm looking at what Texas is saying they're going to have to do to meet this incredible AI explosion that's occurring in that state, and Michael talked about that really becoming a landing spot for so many hyperscalers today. In fact, as we look in our backyard in North Carolina, there are 91 data centers in the state. Duke Energy is already talking about on a percentage basis, what they're going to see have to change in North Carolina. But the fact is North Carolina and Texas are not alone in that respect. So again, if I think about public, very constructive. If I think about nonres, on the heavy side, it continues to grow. And again, I take you back to that Slide 12 in the supplemental slides. And then what we're doing today in this business is doing it on the back of a non -- excuse me, on a residential market that is very, very muted. And if you go back over time and you really want to track volumes and if there's one single thing that you can tend to track it with, it's what's happening relative to single-family housing. Not that, that's a huge consumer of stone, but it's everything else that brings along with it, including the light nonres. So we came into this year with very low expectations of housing. And by the way, those low expectations were fully met this year. I think we're going to go into next year and have a much more constructive housing market in half 2, probably building into 2027. So again, Ivan, what you're asking is coming into the year, how did it feel exiting the year? How does it feel? And what does that look like on a comparative basis on what we think '26 is going to be, I feel better about '26 than I did '25 coming into the year. So I hope that's responsive.
Judah Aronovitz: Okay. And just on the gross profit per ton on aggregate. I guess, how do you -- double-digit growth, reasonable to expect at this point?
Michael Petro: Yes. I would encourage you to think about the price/cost spread that we talked about at 250 basis points. That kind of almost gets you there, but that's more how I would encourage you to model it.
Operator: And ladies and gentlemen, that concludes our question-and-answer session. I will now turn the conference back over to Mr. Ward Nye for closing remarks.
C. Nye: Abby, thank you so much, and thank you all for joining today's earnings conference call. Martin Marietta's resilient aggregates-led platform, bolstered by our high-performing specialties business and portfolio enhancements positions us to drive sustainable earnings growth and respond with agility to evolving market dynamics. Through the disciplined execution of SOAR 2025, we've strengthened our presence in economically vibrant markets with compelling long-term demand drivers, while enhancing our product mix, earnings profile and growth trajectory. As we embark on SOAR 2030, the next phase of our 5-year strategic plan, our strong financial foundation and enduring commitment to long-term value creation reinforce our confidence in delivering superior results for our shareholders now and into the future. As always, we're available for any follow-up questions, and thank you again for your time and continued support of Martin Marietta.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.